Operator: Good morning and welcome to the Deere’s Fourth Quarter Earnings conference call. Your lines have been placed on listen-only until the question and answer session of today’s conference. I would now like to turn the call over to Ms. Marie Ziegler, Vice President and Treasurer. Thank you. You may begin.
Marie Ziegler: Hello everyone. Also on the call today are Jim Field, our Chief Financial Officer; Susan Karlix and Justin Marovek. In addition, Tony Huegel joins us today as the newly-appointed Director of Investor Relations. Many of you know Tony based on his previous experience in our department. He has a strong familiarity with the practice of investor relations as well as a deep understanding of Deere. Tony will be in transition between now and the end of January. Tony, Susan and Justin make up a strong investor relations team that, as in the past, will be available to respond to your questions and share information about the Company. And now, Tony.
Tony Huegel: Thanks, Marie. Today we’ll take a closer look at Deere’s fourth quarter earnings; then spend some time talking about our markets and the outlook for 2011. After that we’ll respond to your questions. Please note that slides are available to complement the call this morning. They can be accessed on our website at www.johndeere.com. First, a reminder that this call is being broadcast live on the Internet and recorded for future transmission and use by Deere and Thomson Reuters. Any other use, recording or transmission of any portion of this copyrighted broadcast without the express written consent of Deere is strictly prohibited. Participants in the call, including the Q&A session, agree that their likeness and remarks in all media may be stored and used as part of the earnings call. This call includes forward-looking comments concerning the Company’s projections, plans, and objectives for the future that are subject to important risks and uncertainties. Additional information concerning factors that could cause actual results to differ materially is contained in the Company’s most recent Form 8-K and periodic reports filed with the Securities and Exchange Commission. This call also may include financial measures that are not in conformance with accounting principles generally accepted in the United States of America, or GAAP. Additional information concerning these measures including reconciliations to comparable GAAP measures is included in the release and posted on our website at www.johndeere.com/financialreports under Other Financial Information. Now for a closer look at the fourth quarter, here’s Susan.
Susan Karlix: Thanks, Tony. Today John Deere wrapped up 2010 with the announcement of our fourth quarter results. All in all, it was an excellent quarter and an extremely good year. Fourth quarter earnings were $457 million, the highest ever for the final quarter of the year. Total revenues climbed 35%. The improvement was broad-based but led by ag and turf which had another strong quarter. Our other divisions, construction and forestry and credit, reported dramatically higher profit as well. Our performance for both the quarter and full year reflected a disciplined approach to executing the Company’s business plan and a sharper strategic focus. It also reflected positive conditions in the U.S. farm sector which led to a highly favorable sales mix of larger equipment. Even so, these results were achieved in spite of weakness in key regions such as Europe and key businesses such as construction equipment. For the year as a whole, John Deere registered its second-highest ever level of sales, earnings and enterprise cash flow. All that said, the ultimate measure of how well we did in 2010 may be found in the generation of economic profit, or what we call SVA – shareholder value-added. For the last decade, it has been one of our primary metrics in managing the Company. SVA for the full year was $1.714 billion, the highest ever. That may be the best yardstick of our success in delivering a high level of profit while managing costs and assets. It was in summary a great quarter and a good year, and it puts the Company in position for what we see as an even stronger performance in 2011. Let’s look at the quarter in more detail starting with Slide 3. As is previewed, net sales and revenues were up 35% to $7.2 billion in the quarter. Net income attributable to Deere & Company was $457 million, the highest ever income for a fourth quarter. Slide 4 outlines the expenses incurred in fiscal 2009 for goodwill impairment related to the John Deere landscapes reporting unit and voluntary employee separation associated with the formation of the agricultural and turf division. Net income in the fourth quarter of 2010 was up more than threefold, excluding these two charges. Turning to Slide 5, total worldwide equipment operations and net sales were up 39% to $6.6 billion, the second-highest fourth quarter net sales total ever. Currency translation on net sales was positive, adding one point, and price realization in the quarter was positive by three points. On Slide 6, worldwide production tonnage was up 59% in the quarter and up 15% in the fiscal year. Both SBUs saw higher tonnage in the quarter as a result of continued strong demand for large ag equipment, strength in South America, and construction and forestry markets rebounding from the very low levels of 2009. For the first quarter of fiscal 2011, worldwide production tonnage is forecast to be up about 39% and for the full year up approximately 8%. Slide 7 illustrates the year-over-year change in tonnage by quarter. As you see, the year-over-year pace of change increased as we went through 2010. In contrast, 2011 will start strong then decelerate in the second half. Partly this is because we’re up against some tough comparisons but also production will be strongest in the first half of the year to facilitate the transition to Interim Tier 4. In addition, 2011 will be a year of significant new model introductions due in large part to the engine conversion. Associated with this change, we will experience some production limits and transitional issues. In addition, construction and forestry’s production level will be front-end loaded due to their implementation of SAP. Both at Davenport and Dubuque works will be shut down for approximately two weeks in the year as they switch to the new system. Let’s turn to the Company outlook on Slide 8. First quarter sales are expected to be up approximately 34% compared with the first quarter of 2010. Currency translation on net sales has a negative impact by about 2 points. For the full year, net equipment sales are forecast to be up 10 to 12% compared with fiscal year 2010. This includes about 1 point of negative currency translation and approximately 2 points of positive price realization. Net income attributable to Deere & Company is forecast to be approximately $2.1 billion in fiscal 2011. Turning to a review of our individual businesses, let’s start with agriculture and turf on Slide 9. Production tonnage was up 50% in the quarter on easy comparisons and strong retail demand. Sales increased 33%. Operating profit was $662 million. The profit improvement was primarily due to higher shipment and production volumes and improved price realizations partially offset by higher incentive compensation expenses and increased raw material costs. The division had an operating margin of about 12% in the quarter and an incremental margin of approximately 24% when you strip out the goodwill impairment and voluntary employee separation expenses taken in the fourth quarter of 2009. Before we review the sales outlook, let’s look at some of the fundamentals affecting the ag business starting on Slide 10. Extreme weather conditions in many parts of the world have led to lower yields and concerns over tight supplies. That has sent the outlook up considerably for crop prices in the 2010/2011 crop year. Our first look at the 11/12 crop year has prices remaining at strong levels. Corn prices are being helped by increased global demand. We project that 2010/2011 corn stocks in the U.S. and Canada will end below 1 billion bushels and not significantly increase in 2011/2012. Growing global consumption for soybeans is expected to keep exports from the U.S. at strong levels, helping to maintain the soybean prices at favorable levels. 2010/2011 global wheat stocks are projected to be down about 12% from the ‘09/’10 levels, keeping prices strong. 2010/2011 cotton prices remain strong given by the recovery in global demand. Turning to Slide 11, 2010 U.S. farm cash receipts are now forecast to be up about 9% from 2009 rising to about $322 billion. Our forecast for 2011 has farm cash receipts increasing to nearly 347 billion. This would surpass the all-time high of 330.5 billion recorded in 2008 by almost 5%. Farm cash receipts for both the current and prior year are an important driver of ag equipment sales. Deere’s outlook for EU-27 is shown on Slide 12. First, grain prices are at very attractive levels and milk and beef prices continue to rise. European farmer sentiment is improving but some fundamentals are weighing on producers’ minds and they are outlined on the slide. Bottom line, however, is for the first time in the last two years we are starting to see a turnaround in demand for agricultural equipment in Europe. Next, farm income in Brazil and Argentina is on Slide 13. In Brazil, farm net income is expected to be up 180% in 2011 led by big increases in sugar cane and soybeans. These are the two crops that drive the bulk of equipment purchases in Brazil. Contributing to strength in the region is strong global demand for Brazilian commodities, lower production costs, and government-sponsored low rate finance programs like Fonami [?] TSI that has been extended through the end of March 2011. Although we highlighted our new or updated products in Brazil in the second quarter call, Slide 14 does so again. These products were launched in May with full availability for fiscal 2011 and we’d be remiss if we didn’t mention that October was Deere’s biggest month ever for tractor and combine sales in Brazil. Further, we added about 25 dealer locations in 2010, enhancing our ability to meet the product support and service needs of our growing customer base. We currently have approximately 200 dealer locations in Brazil. Slide 15 highlights two exciting events that took place this quarter in India for the ag and turf and construction and forestry divisions. In late September, ag and turf had a ground-breaking ceremony and in October began construction of a combine factory in India. This marks John Deere’s entry into the harvesting business there. Full production is expected to begin in the first half of fiscal 2012. You’ve heard us talk about our joint venture with Ashok Leyland for some time. The inauguration of the 200,000 square foot facility took place on October 21. Hiring is underway and production, initially of backhoes, is expected to begin in the first half of 2011. Our 2011 industry outlooks are on Slide 16. Fundamentals in the U.S. and Canadian farm sectors remain robust but reflecting the transition to Interim Tier 4, industry sales of agricultural equipment in the region are forecast to be about flat in 2011. With respect to Deere, we continue to see strength in our order books. The combine early order program is progressing well and as planned. In absolute numbers, orders are ahead of last year. In the sprayer, planter, and tillage equipment programs we are seeing strong results, even above last year; and demand for large tractors remains strong. The 8R series tractor with its Interim Tier 4 engine is being very well accepted. We have conducted aggressive training on the new 8R in the areas of technology, capability and support. Also, customers are excited about the performance of and the new telematics on the tractor. In fact, dealers report that some customers who had submitted orders early to receive 8R tractors with Tier 3 engines have changed their order to later in the year to receive an Interim Tier 4 compliant machine. Also, some customers who bought a new 8R tractor in 2010 are already discussing trades for the 2011 machine. We are encouraged by the initial orders of more than 2,500 8R units, all of which are retail sold. Effective availability for the 8R series tractors is May 2011. Earlier we touched on the conditions in western Europe. As noted earlier, we are encouraged that the demand is beginning to turn. In 2011, we expect ag sales to be up 5 to 10% in western Europe. Sales in central Europe and the CIS are expected to see moderate gains from the depressed levels of 2010. Asia sales are expected to increase moderately from the very strong levels of 2010. And industry sales in South America are expected to be flat in 2011 from the strong levels in 2010. Although the underlying economic fundamentals are positive, our industry retail forecast includes lower sales from Brazilian government programs that target small farmers and a return to higher interest rates if the Fonami TSI extension expires on March 31. In summary, with Deere’s lineup of new products, we are excited about our prospects in South America. Turning to another product category, after rising almost 15% in 2010, we expect retail sales of turf and utility equipment in the U.S. and Canada to be about flat in 2011. We have seen an uptick in the commercial mowing segment and our new utility vehicles have experienced an extremely successful launch. Putting this all together on Slide 17, Deere sales for worldwide ag and turf are projected to be up 7 to 9% for 2011 with an operating margin around 13%. In 2010 the ag and turf division’s operating margin benefited by about 2 points due to the mix of large ag sales in comparison with a normal year. That effect is expected to moderate somewhat in 2011 as small ag equipment sales recover from their fairly low levels of the past few years. The mix impact in 2011 will be about 1 point. Let’s focus now on construction and forestry on Slide 18. Deere’s net sales were up 75% in the quarter while production tonnage was up 129%. The division’s operating profit of $54 million was impacted by higher shipment and production volumes, incentive compensation expenses, raw material costs, and post-retirement benefit expenses. On Slide 19 following a 41% increase in 2010, net sales in construction and forestry are forecast to be up 25 to 30% in fiscal 2011. To put these numbers in perspective and to truly appreciate the severity of the decline in C&F market, this year’s increase will put the division sales at about what has historically been considered a trough level. We are forecasting the U.S. construction industry to be up about 25% for the full year. Growth is slower coming out of this recession than others, but we are encouraged by the activity we have seen from the independent rental companies and in the governmental segment. Also encouraging, Deere dealers continue to see an improvement in rental utilization and used equipment markets. Meanwhile, global forestry markets were up significantly in 2010 from the very low levels of 2009 and are expected to be up further in 2011. Globally the industry was up about 50% in 2010 and our current forecast calls for a further increase of 25 to 30% in 2011. The full year operating margin for Deere’s C&F division is forecast to be in the mid single digits. Let’s move now to our credit operations. Slide 20 shows the worldwide credit operations provision for credit losses as a percent of the total average owned portfolio. For fiscal 2010, the provision was 48 basis points. Write-offs in the construction and forestry portfolio continue to improve. We are seeing fewer repossessions and increased pricing on the repossessions that are occurring, as well as improving recovery rates. The 2011 full year provision for credit losses as a percent of the average owned portfolio is forecast to run around 45 basis points. On Slide 21, past dues for the worldwide credit operations were lower than 2009 overall. Moving to Slide 22, worldwide credit operations net income attributable to Deere & Company was $91 million in the quarter versus a net loss of 22 million last year. The biggest factors were the reversal and deferral of wind energy tax credits eligible for cash grants this year, a lower provision for credit losses, improved financing spreads, and growth in the portfolio. Speaking of wind, as previously announced we have signed a definitive agreement to sell the wind energy business. Subject to regulatory approval, the transaction is expected to close in December. A charge of about 20 million after tax is included in the fourth quarter results. Looking ahead, we are projecting worldwide credit operations net income attributable to Deere & Company of about $360 million in 2011. Now let’s turn our focus back to the equipment ops and take a look at receivables and inventories on Slide 23. For the Company as a whole, receivables and inventory were up roughly $1.5 billion in 2010 versus 2009. Keep in mind we ended fiscal 2009 with receivables and inventories at extremely low levels. They were $1.3 billion lower than at the end of fiscal 2008. Also, 2010 year-end inventories were higher due to strong end markets and the timing of Interim Tier 4 transitions. By the end of fiscal 2011, receivables and inventories are expected to be down about $675 million. Now let’s discuss the latest on retail sales. Slide 24 presents the product category detail in the U.S. and Canada for the month of October expressed in units. Utility tractor industry sales were up 11%. Deere was at more than the industry. Row-crop tractor industry sales were up 40%. Deere was up more than the industry. Four-wheel drive industry sales were up 63%. Deere was up more. And the combine industry sales were up 18%. Again, Deere was up more than the industry. Looking at Deere dealer inventories in the bottom chart, for row-crop tractors Deere ended October with inventories at 16% of trailing 12-month sales. Combine inventories were at 2% of sales. Turning to Slide 25, in western Europe sales of John Deere tractors and combines were up double digits in October. Deere’s retail sales of selected turf and utility equipment in the U.S. and Canada were up double digits in the month; and construction and forestry sales in the U.S. and Canada on both the first-in-the-dirt and settlement basis were up double digits for the month. Slide 26 shows raw material and logistics costs up about $80 million in the quarter and down about 135 million for fiscal 2010. Our fiscal 2011 calls for raw material and logistics costs to be up about 250 million compared with last year. By division this includes about 175 million increased for ag and turf, and about 75 million for construction and forestry. The significant material cost tailwind of about $230 million in the first half of 2010 is not forecast to be repeated in 2011. Now let’s look at a few housekeeping items. Looking at R&D expense on Slide 27, R&D was up about 14% in the fourth quarter with currency translation being negative by about 2 points. For fiscal 2010, R&D expense was up about 8%. For fiscal 2011, R&D expense was expected to be up about 15%. As we stated last quarter, R&D spending is expected to remain at high levels as we approach significant product launches with Interim Tier 4 engines and soon thereafter we respond to Final Tier 4 emission standards. Also included in the increase is the ongoing new product development expense for our growing global customer base. Moving now to Slide 28, pension and OPEB expense in the fourth quarter was up about $70 million, bringing the full year increase to about $345 million. Pension and OPEB expense is expected to be about flat in fiscal 2011. On Slide 29, SA&G expense for the equipment operations was up about 15% in the fourth quarter. Variable incentive compensation accounted for about 11 points of the increase while pension and OPEB expense added about 2 points. For fiscal 2010, SA&G was up about 10 points. Variable incentive compensation accounted for about 6 points of the change as the Company’s performance continued to improve. One factor was record-setting SVA reflecting our continued focus on execution and asset efficiency. Pension and OPEB accounted for about 2 points of the SA&G increase and currency translation about 2 points. SA&G is expected to be up about 6 points for fiscal 2011. In line with our growth objective, growth will account for about 2 points of the change with variable incentive compensation accounting for about 1 point. Moving to the tax rates on Slide 30, the fourth quarter effective tax rate for equipment operations was about 42%. The full year 2010 effective tax rate was about 41% including the tax expense of about 130 million related to U.S. healthcare legislation recognized in the second quarter. Excluding the charge, the effective tax rate for 2010 would have been about 36%. For 2011, our effective tax rate is forecast to be in the range of 35 to 37%. On Slide 31 you see our record of strong cash flow from Deere’s equipment operation. We anticipate cash flow from equipment ops of about $3 billion in fiscal 2011. Such strong cash generation speaks to successful execution of our SVA model which emphasizes high returns from a lean slate of assets. In light of such strong cash flow, we thought it appropriate to review our use of cash priorities as outlined on Slide 32. First is the importance of a single-A rating. Deere’s worldwide credit operation provides a strategic advantage in funding customer purchases; but this is true only so long as we can access the credit markets on a cost-effective basis. One of the key elements to this end is maintaining a single-A rating, which is our top priority. The rating agencies expect 12 months of debt maturities to be covered by cash and/or untapped credit facilities. This also implies appropriately our pension and OPEB benefits, which we have done proactively and prudently over the years. In fact, at the end of fiscal 2010 the accumulated benefit obligation for Deere’s U.S. hourly and salaried plans was 102% funded, while the projected benefit obligation was 98% funded. Our second use of cash priority is funding value-creating investments in our operations such as the two facilities in India that we just referenced, or our factory in Domodedovo, Russia that was opened earlier in the year. A third priority is to provide for the common stock dividend. Over time, we want to consistently deliver a series of moderately increased dividends while targeting at 25 to 35% payout ratio on average. In this regard, we are mindful of the importance of maintaining the dividend and plus not growing it beyond a point that can be comfortably sustained by our cash flow. Share repurchase is our method of deploying excess cash once the previous requirements are met and as long as the share repurchase is viewed as value enhancing. Slide 33 addresses unsecured term debt maturities over the next two years, nearly $3 billion in 2011 and approximately $5 billion in 2012. The relatively high level and timing of maturities in 2012 will affect the amount of cash we are targeting for year-end 2011. Slide 34 summarizes share repurchases by fiscal year. During the fourth quarter, we repurchased 3.5 million shares for about $255 million, bringing total shares repurchased this year to over 5 million. Looking into 2011, given our projected cash flow and use of cash priorities, it is fair to say that our forecast contemplates additional share repurchases in the coming year. Finally Slide 35 summarizes sources and uses of cash since we restarted the share repurchase program back in 2004 and began a run of seven dividend increases. You’ll note that we have returned over $7 billion of cash to shareholders over this time, representing about 55% of the cash generated by operations. This accomplishment demonstrates our focus on delivering value to investors. Turning to Slide 36, capital expenditures were $735 million in fiscal 2010 primarily driven by the Interim Tier 4 emission rules. Depreciation and amortization was about $550 million. Pension and OPEB contributions were about 840 million in the year. Looking ahead to fiscal 2011, as Slide 37 illustrates, capital expenditures are expected to be about $1 billion in the year. The increase is due to new product development in new markets such as our entry into the harvesting business in India, as mentioned earlier. Depreciation and amortization for 2011 is expected to be about $550 million with pension and OPEB contributions of about 300 million. In closing, John Deere enters 2011 on a strong pace. We are looking for further improvements in the year ahead as a result of some pickup in overall economic conditions and a farm sector that remains very sound in general and is gaining strength in some of our key markets. At the same time, the Company is aiming to capitalize on this positive environment by pursuing new markets, adding productive new models of equipment and extending its competitive position throughout the world. John Deere’s plans for helping meet the world’s growing need for food, shelter and infrastructure are well on track and moving ahead at an accelerated rate. That’s one of the reasons we remain highly confident about the Company’s increasingly attractive future prospects and about our ability to deliver significant value to customers and investors well into the future.
Marie Ziegler: Thank you, Susan. We are now ready to begin the Q&A portion of the call. The Operator will instruct us on the polling procedure but as a reminder, in consideration of others, please limit yourself to one question with a related follow-up, and if you have additional questions we ask that you rejoin the queue. Shirley?
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please press star, one. Please unmute your line and record your name clearly. To withdraw your request, you may press star, two. And one moment for our first question. Our first question comes from Jamie Cook. You may ask your question and please state your company name.
Jamie Cook – Credit Suisse: Hi, good morning. Credit Suisse. I’m trying to understand your guidance in a number of different ways, but I’ll start first with your outlook for construction and forestry. I mean, if we assume a 27.5 sales increase, which is the mid-point of your guidance, and you said mid single digit margins, I’m trying to figure out why margins would be that low because that gets you to about 4.7 billion in sales. It’s about 100 million lower than 2008, and at that point you had almost a 10% margin. So I’m just trying to figure out how you think about that and whether you feel that’s sort of acceptable internally for your margins to be half of what they would be on a similar sales level.
Marie Ziegler: Okay, well we’ll deal with construction and forestry, then. First of all, as Susan pointed out, this is about 70% of our average or typical volume, so even with that very significant increase, Jamie, that just puts us to the bottom of where we would normally be operating. The other thing I would point out, and this will certainly have an impact on the ag and turf division as well, is that although we have good volume increases, we talked about raw material costs, we talked about R&D and SA&G. We have some other expenses that I’m going to give the number for the Company because I don’t have them split by division, but they are important for the construction and forestry division as well, and that would include IT4 product costs. We have raw material costs, that’s inflation adjustments if you will, but these new IT4 compliant machines cost more money because there’s more hardware on them, and the cost for the Company is about $135 million, we estimate, for next year. And this—actually, we do have a little bit of a split. We think it’s about 100 for the ag and turf, and about 35 for the construction and forestry. We also have some higher overhead expenses due to just the fact that we will be in transition. Susan mentioned that construction and forestry will have a two-week shutdown as they transition to SAP, which has some additional human resources assigned to help facilitate that, and then additionally just the mere transition to IT4, which causes some inefficiencies, if you will, in the factory. And third thing that, again, affects the Company, less so construction but nonetheless something to note, is that absorption is about $100 million hit in 2011. So when you look at those factors, you can see why we have the kinds of margins that we do. We will continue to work to improve our margins. Obviously you’ve heard us talk about our aspirations, which are a 12% operating margin on average over time, and a peak margin of about 14.5%, and those are still very much in play; but in 2011 we have some unique circumstances.
Jamie Cook – Credit Suisse: And then just I guess my follow up question is I think you said—I mean, just given your industry outlook for U.S. and Brazil, which comprised a big part of your farm equipment business. I understand Europe is getting better, but do you sort of—given that the tougher comps in your guidance that you have in North America and South America, and Europe coming up at a lesser percentage, that farm margins have already sort of peaked? Or do you still think you can achieve that target of 14.5? Or you said your margins will increase 2 to 250 basis points above prior peak within farm specifically.
Marie Ziegler: Go ahead, Tony.
Tony Huegel: Yes, we do believe we can achieve the 14.5%, and we’re not walking away from that bogey at all on the ag equipment business or on the construction business as well. When you look at the ag business on a global basis, you have to realize that we’re roughly at mid-cycle volumes. I mean, we have some strength in North America but we have some other markets that are very, very soft, namely western Europe and the CIS.
Jamie Cook – Credit Suisse: So as a percentage of mid-cycle, sorry, where do you think you are in farm?
Tony Huegel: Roughly mid-cycle.
Jamie Cook – Credit Suisse: Mid-cycle?
Tony Huegel: On a global basis.
Jamie Cook – Credit Suisse: On a global—and the other areas are big enough? I mean, the areas that would pick up are eastern Europe—you know what I mean? I mean, your biggest markets to me—so you’re suggesting your bigger markets aren’t in peak?
Marie Ziegler: Absolutely. Absolutely, and western Europe is still very far below peak and is a bigger market than Brazil. Thanks, Jamie.
Jamie Cook – Credit Suisse: Thank you.
Operator: Thank you. Our next question comes from Jerry Revich. You may ask your question, and please state your company name.
Jerry Revich – Goldman Sachs: Hi, good morning. It’s Goldman Sachs. Marie and Tony, congratulations.
Marie Ziegler: Thank you.
Tony Huegel: Thank you.
Jerry Revich – Goldman Sachs: Marie, should we interpret your outlook for rising construction and forestry working capital to mean that the IT4 transition impacts less of your product line up in the business in 2011 than in ag, and should we look for that transition cost that you described to continue in coming years as you transition additional products to IT4, or will the transition this year put you in a better position to implement the remaining products?
Marie Ziegler: There will be some additional transitional costs as we move into 2012, certainly. In terms of for the division, the bulk of the construction and forestry product line actually is affected by the emissions regulations starting in 2012. For ag, obviously, as you know, everything above 175 is affected and that’s a bigger percentage of the ag and turf division’s product line. So you’re correct – there are some differences there. Does that help?
Jerry Revich – Goldman Sachs: Absolutely. And you have a pretty healthy capital budget increase for next year. Can you talk about how much of that is for new products versus capacity expansion plans, and perhaps give us some more color on the latter?
Marie Ziegler: Well clearly the lion’s share of that increase is still very much surrounding the implementation of IT4 stage 3B in Europe emission standards, as well as emission standards in other parts of the world. There are some, I would say, more incremental capital that will be spent in places like we described in India, but the bulk really is still IT4-driven.
Jerry Revich – Goldman Sachs: Thank you. And lastly, can you say more about which countries in Europe you expect to lead the recovery and which countries do you think will remain weak for the next six to 12 months?
Marie Ziegler: I don’t have that color. I’m sorry. I only have a comment on the market overall.
Jerry Revich – Goldman Sachs: Okay, thank you.
Operator: Thank you, and the next question comes from Meredith Taylor. You may ask your question, and please state your company name.
Meredith Taylor – Barclays Research: Hi, it’s Barclays Capital. Good morning and congratulations. I’m hoping you could give a little more color on the production limits on a year-over-year basis in these transitional issues on the ag and turf side of the business. Maybe if you can dovetail that with how, with the guidance you’ve given on a production tonnage basis, if you could talk specifically to ag and turf how much these production limits will be a factor as we move through the year.
Marie Ziegler: The timing of the transition on the 8000 series tractor, as you know, begins—production begins January 1. We have not introduced these products but we can tell you that we’ll be introducing or transitioning our 7000 and 9000 series products as we move to the middle of the year. Maybe that will help you a little bit in terms of the timing, and then there are ongoing other products that are going to be introduced, but those are kind of the big ones. When we took a look and said what is our upside for 2011 as we looked at our capacity, and when we talk about capacity here this year, we’re affected by the fact that as you launch new products, you shut down the line and then you have some transitions and then you ramp up production, so you lose some period of time or some available capacity, if you will, as you’re making these transitions. And for us, this is a normal part of the business. It’s just that there are so many that happen in this compressed period of time. We’ve got a record number of launches that will be coming out certainly in the next year, and a very impressive number the year after. So anyway, with that as a preamble, as we took a look specifically at Waterloo and at our harvester works, in total we think we’ve got about 10% upside in view of these limitations and balancing emissions credits.
Meredith Taylor – Barclays Research: So sorry, just in terms of 10% upside--?
Marie Ziegler: Out of specifically the two biggest ag factories that are being affected as we are transitioning IT4 this year.
Meredith Taylor – Barclays Research: Okay, got it. And then can you talk a little bit about what you’re assuming in terms of the impact on incrementals for ag and turf given this transition? I mean, I know you had talked for the fourth quarter, actually, about 50 million headwind associated with that. Can you talk about how fourth quarter trended relative to that expectation and then how that flows through in 2011?
Marie Ziegler: Okay, for 2011, Meredith, that is $100 million of additional overhead that we expect to incur. In the fourth quarter itself, actually—
Meredith Taylor – Barclays Research: Sorry, just to clarify – that’s all in ag and turf?
Marie Ziegler: No, there’s a little bit of impact in construction and forestry, but the bulk of it – the vast majority of it – is for ag and the reason is, of course, is that ag has the greater number of new product introductions. So 100 million there; and then in the fourth quarter, we actually think we ended up around 20 million. We were more efficient than we had initially, I guess, feared, and that efficiency is reflected in this 100 million guidance that we’re giving into next year. Thank you, Meredith.
Meredith Taylor – Barclays Research: Thank you.
Operator: Thank you. Our next question comes from Henry Kirn. You may ask your question and please state your company name.
Henry Kirn – UBS: It’s UBS. Good morning.
Marie Ziegler: Good morning.
Henry Kirn – UBS: Could you talk about the potential share impact of the broader product offerings in South America? How much bigger a piece of the pie do you think the Company can go after now?
Marie Ziegler: Well, certainly we have some internal share objectives that I would not choose to publicize, but there is no question that we are doing a much better job of covering a broader product offering. And you see from the slide, it’s just not only tractors; it’s combines and a whole host of products. I might also point out when you look at the industry guidance that we provide, (inaudible), as you know, provides industry information on tractors and combines. When we look at our own sales, our sales are made up of certainly tractors and combines but they include a lot of other products including sugar cane harvesting equipment, we’ve got cotton harvesting equipment, planters, just a variety of things. So when we give you industry guidance, we can only give you industry guidance on tractors and combines, and I think there are some tillers or something that are included in there. But there are other products that are sold in the market, and so as you think about the outlook, remember we will benefit from the very strong sugar cane markets and cotton markets as well.
Henry Kirn – UBS: Thanks. And could you talk about some of the signs of life in eastern Europe. Is credit becoming more readily available?
Marie Ziegler: I think signs of life would be—the description that I’ve heard applied there is they are starting to see limited pockets of some financing activities, but there is no question that financing availability is still an enormous issue in that region of the world.
Henry Kirn – UBS: Thank you very much.
Marie Ziegler: Thank you.
Operator: Thank you. Our next question comes from David Raso. You may ask your question and please state your company name.
David Raso – ISI Group: ISI. My question is initially on pricing. Can you give us some indication of how you see pricing for ’11 for ag and turf?
Marie Ziegler: We have price guidance for the full Company of 2 points. Certainly ag and turf is a strong participant in that guidance.
David Raso – ISI Group: Okay. The reason I ask is doing that math, if you gave ag just 3%, which I believe would be more than that, it implies construction pricing down over 3% year-over-year.
Marie Ziegler: It would be incorrect. Both divisions are looking for some positive price realization, and David, that’s as much as we can comment on that.
David Raso – ISI Group: But can you just correct the math? If I do 3% on ag revenues for ’11, to get to 2% for the total Company--?
Marie Ziegler: Then the number must not be 3%.
David Raso – ISI Group: So then the question would be why would ag pricing be less than 3% given the 8000R and even some of the price increases in the channel we hear for the rollover from the Tier 3 in front of the new Tier 4?
Marie Ziegler: That’s a very good question, and do recall that when you take a price increase, that includes feature creep. When we give you our price realization, we are stripping out anything that would involve higher horsepowers, new features, the IT4 compliant piece – that is considered a feature and is put into volume. So when we give you our price numbers, we are looking strictly at trying to do an apples-to-apples, as best we can, comparison.
David Raso – ISI Group: Okay.
Marie Ziegler: So again, higher horsepower, IT4, all of that gets reclassed, if you will, into volume.
David Raso – ISI Group: Okay, appreciate that. If I look at the 7 to 9%, then, total ag and turf growth, and strip out of pricing that kind of apples-to-apples, not features, the unit growth is implied probably sub-5 or something like that.
Marie Ziegler: Well, our guidance in North America is for the industry to be flat.
David Raso – ISI Group: Sure.
Marie Ziegler: And that does reflect, as Susan talked about, the fact in large ag you are in a period of transition with some production limitations and some emissions credits management.
David Raso – ISI Group: Well, that’s not my question. The ag and turf receivables and inventory being down 750 for the year – a little bit is currency, I know, but still under-producing retail. Can you pinpoint exactly where the underproduction of retail will be? I suspect even though the combine new inventory’s low, you might try to help out with some of the used sales by keeping new production low; but can you maybe highlight in particular where the underproduction will be versus retail in ag?
Marie Ziegler: It really has to do more with the work in process that we have in the factory in the fourth quarter of this year compared to what we think we will have and require in the fourth quarter of next year. That is not at all a prognostication on what the 2012 markets look like whatsoever. It really reflects the fact that this year, as we’re getting ready for this very significant emissions change, we are in very high production levels on Tier 3 machines in the fourth quarter of this year, as well as November and December. We do not expect to repeat that kind of production level. As you’re aware, typically it’s pretty quiet October, November and December here, relatively speaking, because we’re out of the use season. So what you’re really seeing in that number in ag and turf is the fact that you don’t have a lot of work in process at a time of the year when we are typically seasonally weak.
David Raso – ISI Group: And the Tier 4—
Marie Ziegler: David, I think we’ve done our two questions. Thank you so much.
David Raso – ISI Group: Okay, thank you.
Operator: Thank you. Our next question comes from Robert Wertheimer. You may ask your question and please state your company name.
Robert Wertheimer – Morgan Stanley: Hey, good morning everybody. It’s Morgan Stanley. My question is on Tier 4. Marie, I think you mentioned the incremental cost of the Tier 4 component, which makes sense. I would assume that part of the volume/pricing is trying to recoup the hundreds of millions, or millions that you’ve spent on R&D. So is it fair to assume that the margin impact—in other words, the price volume is bigger than the cost you just had, and it’s a favorable margin trade in ’11? And then secondarily, the upped R&D expense – is that really getting ready for the models that launch in ’12 and final testing and such, or is that more the Tier 4 final in 2014 (inaudible) starting?
Marie Ziegler: Bob, let me start with the R&D. We have a significant launch in 2011. Some of the R&D is still for products that will be launched in 2011, certainly. There is a very large wave, again, coming in 2012 so that’s affecting the number. And then thirdly, we are doing—we are hot and heavy into Final Tier 4 design work. Final Tier 4 starts in 2014, and if you are one of our design engineers, that is tomorrow. So there is a lot of work being done there. On the margin, we have some incremental investments in some new product delivery, and the example would be like the large number of new products that we just introduced in Brazil. We are continuing to develop product for customers in many markets. Now going back to your IT4 cost question and price, we over time expect that we will fully recover our IT4 costs. But it doesn’t happen all on day one, and so it is fair to say that in 2011 there will be some impact in our margins just on a product cost basis, and it involves mix and timing and a whole variety of things. But over time, we will recover that.
Robert Wertheimer – Morgan Stanley: Okay, perfect. So that means in ’11 you’re not necessarily trying to recoup a big chunk of the R&D spend and it must be negative. Got it. And then my follow-up—
Marie Ziegler: Actually Rob, I’m sorry, Rob I think we’ve done our two. I need to keep moving. Thank you.
Robert Wertheimer – Morgan Stanley: Okay, thanks.
Operator: Thank you. Our next question comes from Andy Casey. You may ask your question and please state your company name.
Andrew Casey – Wells Fargo Securities: Wells Fargo Securities. Good morning. Happy Thanksgiving to everybody and congrats, Marie and Tony.
Marie Ziegler: Thank you very much.
Andrew Casey – Wells Fargo Securities: On the cash priority slide, can you help us understand how to define the term excess when you’re talking about excess cash from an external viewpoint, because kind of based on your cash flow outlook plus the current cash on the balance sheet for the equipment side, it would be 5 billion-plus at the end of ’11.
Marie Ziegler: Depending on what we might do with repurchase and things like that, and then we’ve got a pretty significant amount of capital expenditures ahead of us, as you are aware, etc. We need some amount of liquidity to run the business and we’ve also talked about the requirement of the rating agencies to have—and frankly, it’s just good business to have a certain amount of our debt prefunded. We deliberately included the chart on the debt maturities which is—I’m looking for it, it’s Slide No. 33, so that you would be aware of the fact that we have some pretty significant maturities coming particularly in 2012, and so as you think about our year-end cash, we’re going to have some portion of that cash on hand to cover what is a very significant maturity. Go ahead, Jim.
James Field: And we have chosen not to give sort of precise cash targets because that analysis, of course, is very situational, and we look at some volatility indices that tell us what we’re seeing in the underlying capital markets, and the amount of cash will flex. Having said that, we have said that our forecast contemplates additional repurchases which would certainly, I think, lead you to believe and appropriately so that the amount of cash that we have right now is, we think, more than we would need and we intend—while I’m not committing to any timeline or amount, as we’ve said, our forecast contemplates repurchases in the next fiscal year.
Andrew Casey – Wells Fargo Securities: Okay, thank you. And then the last one, back to Henry’s question. When you look at the performance that you had in October down in Brazil tractors in terms of market share, were there any one-time benefits driving the share up for that particular month or should we expect low-20s is pretty sustainable in the short term?
Marie Ziegler: Oh, I think market share you want to look at over a long period of time. I’m—we had some new products that had been launched earlier in the year coming into it, but I think you want to look at it over a long view. I can’t promise that we’ll repeat exactly what we did in October; but we’re very encouraged by the market’s reception of the products and the fact that we will have full availability as we move through 2011.
Andrew Casey –Wells Fargo Securities: Okay. Thank you very much.
Marie Ziegler: Thanks Andy. Next?
Operator: Thank you. Our next question comes from the Ann Duignan. You may ask your question and please state your company name.
Greg Williams – JP Morgan: Good morning. It’s Greg Williams sitting in for Ann Duignan at JP Morgan. Thanks for taking our questions.
Marie Ziegler: Our pleasure.
Greg Williams – JP Morgan: Just wanted to follow up on the transition costs going into fiscal ’11. R&D specifically, it looks like you’re going for a 15% increase. It’s about 1.2 billion a year and with the emission standards and Stage 3 being 2012 and 2014, is the 1.2 a good run rate to use as we look beyond 2011?
Marie Ziegler: I think it’s very fair to say that our R&D spend will stay at very high levels. I think certainly there could be some increase as you move forward. We don’t have our crystal ball into what we’ll be spending in ’12 and ’13 and ’14 now, but I certainly wouldn’t look for that number to abate in the near future.
Greg Williams – JP Morgan: Okay, thanks. And can you talk about the order board? I think, Marie or Susan, you mentioned that they’re on plan. I was hoping we could get some numbers behind that and what time frame is that? Is that October or the fiscal quarter, and how much of that would you expect was pre-buy activity and what do you anticipate for pre-buy in the next month? Thanks.
Marie Ziegler: Well, I think maybe the most significant item here is that on the 8Rs now, we indicated that we had 2,500 retail orders, which is a lot, for our machines that will be produced after the first of the year. So these are machines that are IT4 compliant. They do carry a price tag but they also have telematics and they have some additional features that we are having very good reception from the market, and their fuel economy is basically neutral with the Tier 3 so people are very pleased with what they’re hearing about our new products. And I think maybe that’s the most significant point away from that. In terms of availability date for 8000s, we’re talking May; and for 9000s we’re talking March.
Greg Williams – JP Morgan: Okay, thank you.
Marie Ziegler: Thank you.
Operator: Thank you. Our next question comes from the Eli Lustgarten. You may ask your question and please state your company name.
Eli Lustgarten – Longbow Securities: Good morning. Longbow Securities.
Marie Ziegler : Good morning, Eli.
Eli Lustgarten – Longbow Securities: Hi, good morning. Could I get a clarification first – you said you’re going to shut down the construction for two weeks. When is that going to occur, and is there an implied cost of it? I mean, you told us it’s going to happen, you just didn’t tell us when.
Marie Ziegler: Yeah, mid-year; so you’re looking April, May time frame. And it would be included in that overhead that we were looking at of about $100 million, but again the bulk of it is ag, so I don’t know, maybe—I’m guessing 10 to 15 million here is construction.
Eli Lustgarten – Longbow Securities: Now your guidance for the credit company is 360, up from 350 effectively. Can you give us—something’s going on there, and the 20 million charge for the wind, I guess, you pulled out of that stuff. Is there any more charges coming next year in wind?
Marie Ziegler: No. We don’t contemplate anything at all for wind. I think one of the things that I just would remind you is in the second quarter of—I think it was the second quarter this year, we had some mark to market gains that we don’t—and of course it’s very hard to predict when that happens, and that was about $20 million after tax, and so we don’t expect that that will be repeated in 2011. And they also have a little bit of higher overhead, SA&G as they are working to support our international growth.
Eli Lustgarten – Longbow Securities: And as a follow-up, I guess we’re all still struggling with this guidance because if you strip out the healthcare charge, you still earned somewhere between 465, closer to 468 I guess if you take out the wind charge also. And the implied guidance of less than $5 just sort of doesn’t fly with—even with 100 million going on, there’s got to be something else that we’re missing in cost or impact.
Marie Ziegler: Okay, let me summarize those again, then. Raw materials costs are up 250 million, mix is about a point of margin in A&T, and this is not a bad thing at all because it means our small tractor business is starting to recover recently in Europe, for example. But that’s about—1% is about in round numbers 150 million. R&D, our guidance would tell you we’re up about 150 million. SA&G, our guidance tells you there you’re up about 140. Then we have the three items that I had alluded to earlier, which is the product cost of IT4, which is 135, overhead 100, and absorption 100. And that’s where it goes.
Eli Lustgarten – Longbow Securities: Product cost 135, absorption 100 – was there another 100 on top of that?
Marie Ziegler: The overhead. That was the factory inefficiencies associated with the cost of product line transition and capital expenditures, etc. related to that.
Eli Lustgarten – Longbow Securities: Yeah, the 2% pricing pretty much offsets most of that cost, so that’s the hard thing we’re getting with a double digit sales gain. Incremental margins would just look awful if something—I mean, something doesn’t hold unless it’s very conservative guidance.
Marie Ziegler: I have nothing else to add, Eli.
Eli Lustgarten – Longbow Securities: All right. Thank you.
Marie Ziegler: Thank you. I have time for one last question.
Operator: Thank you. And our last question comes from Steven Volkmann. You may ask your question and please state your company name.
Steven Volkmann – Jefferies & Company: It’s Jefferies. Just made it, thanks. So I wanted to actually step back and look a little bit at the forecast, the industry forecast. I’m interested that you raised your farm cash income expectations in North America and in South America, and certainly the underlying crop fundamentals look pretty strong and yet we have kind of flattish forecasts for those markets. And I’m wondering, do you think that we’re just sort of saturated at this point and the cycle’s kind of flattening out, or is there some reason that you would expect farmers, despite these strong fundamentals, to have fairly flat purchases?
Marie Ziegler: Let’s go back again. Our guidance for North America is affected by these very significant product transitions in IT4 that will have some impact on our ability to respond to customers’ requirements. We will do our very best but because of the need to manage emissions credits, and as we’ve talked a lot already about the transitions and the fact that you have some capacity that’s taken out effectively because of those transitions, we think that the markets will be affected in 2011 by that. So that’s maybe in North America. In South America, again, the guidance specifically is looking at tractors and combines, which is certainly a very important part of the market, but it does not include what’s happening in sugar cane and cotton. The other thing I want to point out is in the tractor market as we look at it, we assume – because we don’t know what will happen – that the very attractive 5.5% rate that Fonami TSI has been offering will end and not be extended beyond the end of March, because we simply don’t know. So and that’s what’s in our forecast. The other factors – there are two state government programs in Brazil that appear to be ending in December and not repeated. Those are targeted at smaller farms and lower horsepower equipment; so those two end and we think that there has been a very significant number of tractors sold under MDA, which is (inaudible) which is the more food program, that’s the federal program in Brazil. Sales in the last two years each have presented about 30% of the industry and we think that based on the market dynamics, we think that we actually may see that segment slowing down, maybe off as much as a third next year; and so that’s what’s incorporated into our industry guidance. Again, that’s the industry. When you look at Deere, we have all these new products. We’ve got a very exciting lineup ahead and we’re very enthused about our prospects into 2011.
Steven Volkmann – Jefferies & Company: Okay, great. And then a quick follow-up for Jim, if I could. We’ve talked, Jim, a little bit about the opportunity to maybe not have to pre-finance a full year of rollovers of maturities as the markets kind of normalize a little bit more. But I guess the message you’re giving us is that that’s not going to happen in the next 12 months?
James Field: No, and the agencies are looking for is about 12 months of coverage today.
Steven Volkmann – Jefferies & Company: Okay.
Marie Ziegler: We’ve covered some of that with credit facilities as well, so we are not necessarily going to have 12 months worth of cash on the sheet. On the other hand, again, we point to the very significant maturities that are ahead of us in 2012, and bear in mind that’s a lot of debt—
James Field: Yeah, that metric is cash plus untapped credit facilities, so what we were looking at before was actually keeping cash 12 months, and we have backed off on that target.
Steven Volkmann – Jefferies & Company: Okay, great. That’s helpful. Thanks.
Marie Ziegler: Thank you all. Susan, Justin, Tony and I will be available to answer your questions. Thank you.
Operator: Thank you, and this does conclude today’s conference. We thank you for your participation. At this time, you may disconnect your lines.